Operator: Good day, ladies and gentlemen, and welcome to the Millicom Q3 2008 Results conference call. For your information this conference is being recorded. May I also remind you that this call is being audiostreamed over the web and is accessible at www.Millicom.com, together with the presentation, summarizing the key features of the results. I would now like the hand you over the host of today's conference, Mr. Marc Beuls, President and CEO, and François-Xavier Roger, CFO. Please go ahead.
Marc Beuls : Thank you, Operator, and welcome to everyone who has joined us today. While I allow you time to find the slides on our web site, it is perhaps helpful to give a brief overview. As you all know there has been a dramatic change in the global economic climate in the last few months, and that has also impacted our business in the past quarter, and which we expect will continue to do so in the quarters to come. We have made a number of adjustments in our planning so that Millicom has the flexibility to continue to operate profitably in the current environment. We are closely monitoring our subscriber additions in all markets, as well as measuring the usage and ARPUs of existing customers so that we can react quickly to any changes in customers' behavior. We expect CapEx in 2008 to be below the $1.5 billion that we previously suggested, and CapEx for 2009 will be substantially lower again, which will lead to an improvement in the CapEx-to-sales ratio and better cash flow generation. We had always expected to be generating free cash flow in 2009, but lower CapEx has beat our generation of cash reserves within the business. Millicom's balance sheet is on unlevered, and in the current market we are happy to maintain this position. We will not be calling the $460 million, 10% 2013 notes in December, as in the current market to terms are reasonable and our intention is to maximize liquidity in the current circumstances. At the end of September we had $274 million of short-term debt and over a billion dollars in cash with a net debt to EBITDA of 0.6 times, which even after the Amnet acquisition, only moves up to 0.9 times. It is vital to understand the growth potential across most of our businesses, and for this reason we will continue to invest in order to capture greater market share. In particular in Africa and Asia, which will take a lot of sharing CapEx over time, we believe can continue to make substantial inroads against our competitors by continuing to take market share. In Latin America we expect to maintain our four number-one positions in El Salvador, Guatemala, Honduras and Paraguay while achieving strong margins and to gradually improve our market share in Colombia and Bolivia over time. Our recent move to launch broadband through 3G and the acquisition of Amnet is an important part of our long-term strategy. Now let me turn to the summary slides for this call. Turning to the financial highlights for the quarter in Slide 2, you will see that year-on-year subscriber growth in the third quarter was 53%, and we ended September with 30.6 million subscribers. Revenues grew by 27% year-on-year to $869 million, and EBITDA increased by 25% to $369 million, reducing EBITDA margin of 42%. The strong EBITDA margin is reflected in the net profit of $161 million, up 17% year-on-year. Slide 3 shows our revenue split by category and the element that stands out is VAS/SMS, which has grown by 88% since Q3 2007, and now accounts for 13% of group revenue. On Slide 4, showing the composition of quarterly revenues, you can see how the EBITDA margin has remained at 42% over the past three quarters. There the marketing spent was 20%, down one percentage point from the past three quarters, but cost of sales was at the same low level as last quarter, and G&A at 12% was one percent point lower than the last quarter. As we start to see the benefits of scale from these investments and start to achieve critical mass and gain market share in our newer markets, we expect to see EBITDA margin improve. On Slide 6 you can see that the total subscribers for the quarter increased by 53% year-on-year. Laos, Honduras, DRC, Ghana, Senegal and Tanzania all produced year-on-year growth in total subscribers of over 70% for the quarter. Revenues for the quarter increased by 27%, which although lower due to macroeconomic factors, still remains one of the best top lying growth rates among telecom operators. The strong dollar impacted our revenues in translation in a number of markets, with the real impact coming through in September. And rising inflation and essential goods during the quarter affected consumers' disposable income, with the result that there was less to spend on mobile services. EBITDA growth for the group, which is shown on Slide 8, was 25%, again reflecting the impact of macroeconomic factors during the third quarter. Turning to Slide 10 on Central America, you can see that subscribers grew by a very healthy 46% year-on-year, and we added 570,000 subscribers in the third quarter to end September with 10.8 million subscribers in Central America. Revenues for Central America for Q3 were $340 million, up 13% year-on-year, but down slightly from the second quarter, and EBITDA was $185 million, up 15% year-on-year, but also down sequentially, reflecting the more difficult trading conditions we are seeing in these markets. In El Salvador and Guatemala we saw a decrease in remittances in absolute terms between July and August, which is a function of the slowing U.S. economy. Year-on-year inflation rates doubled and are now in double digits with the price of certain basic foods, such as rice, rising by over 40%. Such rises affect the assumption patterns and also in Honduras and El Salvador taxes on incoming international calls of $0.03 to $0.04 a minute, have increased the cost of calling, and have reduced minutes of use. Tigo's strong number one position and all the benefits that they bring in term of economies of scale mean that Central America continues to have an excellent EBITDA margin of 54%, and the cost-saving initiatives that have been introduced in the light of the current trading conditions will help to maintain it. In the third quarter we launched 3G services in all three markets, and we announced the acquisition of Amnet, the cable and broadband business with 350,000 customers across Central America. The opportunity for Millicom is to use Tigo’s marketing skills to sell broadband services to existing cable customers and to provide a fixed element to our broadband offer. Amnet has a number one position in its three main markets, which will give Millicom critical mass in this important market segment, which we expect to be a major driver of growth going forward. Slide 11 on South America shows that subscribers increased by 36% and revenues by 27% year-on-year. Paraguay and Bolivia both produced a very good top-line growth of 74% and 59% respectively. Columbia continues to be impacted by the halving of interconnect rates in December 2007, but has begun to grow at the top-line, quarter-on-quarter, despite the impact of a weaker Columbian peso. EBITDA for South America was up $97 million, and the EBITDA margin increased from 32% last quarter to 35%, as a result of the two percentage point margin improvements to 14% for Columbia and cost-cutting initiatives across the region. As the margin in Columbia gradually improves in 2009, helped by elasticity and growth, we expect the margin for South America as a whole to move up towards the group average. The success of (inaudible) in South America has led to a demand amongst more wealthy customers to use Broadband services, and Tigo is seeking to satisfy this demand to a combination of 3G services launched in the quarter and the existing YMX business. Quarterly highlights for Africa are shown on slide 12. 989,000 subscribers were added across our fastest growing region in the third quarter, which represents a year-on-year increase in total subscribers of 86%. Revenue growth at 55% was slower than the previous three quarters. As a result for Senegal and Chile were impacted by the stronger dollar against the Euro, and results for Ghana were impacted by the fall in the Guanine city. The currency weakness in these three markets were particularly offset however by very strong performances in DRC, Tanzania with revenues up by 113% and 74% year on year. EBITDA growth was 85%, and the EBITDA margin was higher at 33% as a result of the positive EBITDA margin reported in DRC less than two years after the launch of Tigo . The quarter was characterized by continued network expansion and the buildup of capacity accommodate the projected subscriber growth in the coming years. We expect to see gradual improvement in margins as we increase market share and get economies of scale from spreading the cost over a wider base. Finally, slide 13 shows that Asia continues to be Millicom’s second fastest growing region, with subscriber growth of 52%, revenue growth of 35%, and EBITDA growth of 17%, reflecting an increase in CapEx across all three businesses to extend an upgrade to network. This will give us an important competitive advantage ahead of the launch of services by new market entrance. Now I would like to hand over to Francois-Xavier, who will talk you briefly through the financials.
Francois-Xavier Roger: Thank you, Marc. Please turn to slide 15, where you can see that CapEx for the third quarter was 328 million, down 17% year on year and down by 14% from the second quarter, giving a lower CapEx to sale ratio of 38% for the quarter. Millicom is very focused on returns and new investments, and therefore, in slightly slower markets we expect to see slightly slower CapEx as we are detail minded that we shall continue to achieve the targeted internal rate of returns on new investments in excess of 20%. We have begun to put more emphasis on cash flow generation while securing growth, and we are closely monitoring CapEx level in relations to both EBITDA levels and growth potential on the country-by-country basis and at group level. In the nine months to the end of September 2008, CapEx amounted to 975 million. As Marc has already mentioned, we expect the CapEx for the full year to be below 1.5 billion, and CapEx for 2009 will be lower than for this year, so improving the CapEx to sales ratio on the cash flow generation. Slide 16 shows the depreciation at 136 million for Q3, as a reason due to higher capital expenditure, but as a percentage of revenues it has stayed fairly constant, and we expect this to remain the case going forward. The group’s CapEx plans are being reviewed with the idea to align CapEx and therefore, depreciation levels with revenue and cash generation of our time. On slide 17, you will see that debts to, that $1.8 billion at the end of the third quarter went from 1.7 billion at the end of Q1. In Q1, we fold the conversion of the 200 million 4% convertible notes due 2010 in January. At start of our ongoing program to improve balance sheet efficiency by repressing debt at the corporate level with debt at (inaudible) pricing companies, which is beneficial to our tax rates. Given the current economic environment, we have decided not to call the $460 million, 10%, 2013 notes this December. At the end of the third quarter, Millicom added on $274 million of short term debt, debt against $1 billion in cash. On our net debt to EBITDA, was 0.6 times, putting us in a strong financial position. Even a third year net acquisition in early October, a net debt to EBITDA ratio will be only 0.9 times. Well below a fitting of two times. On slide 18, you can see our quarterly interest expense. Our decision to maintain the high-end notes, triggered a recertification of the debt from short term to long term, and I continue one of gain corresponding to the non-payment of the 5% premium that had been booked last year. Our overall tax position is summarized in slide 19. The tax rate for the year-to-date is 26%, declining as a consequence of the (inaudible) country mixed on an effective tax planning. We expect the effective tax rates of 2008 to be below 30%. Please turn to the summary cash roster on slide 20. During the first half Millicom made a special dividend payment in the amount of $260 million. Our closing cash balance at the end of the third quarter was $1 billion. The acquisition of Amnet, which we completed in the first of October, was signed on by $200 million of local debt, and by $210 million of Millicom equity funding. As we have already mentioned, lower CapEx in 2009 would mean that we will be generating free-cash flow next year, and building cash reserves within the business. I would like now to hand over to Marc for his final comments.
Marc Beuls : Thank you Francois. In Q3 Millicom continued to take market share across the 16 markets, delivering 27% year-on-year revenue growth, which places the company amongst the leaders in its sector, and with high or rising EBITDA margins at the top of our peer group of telecom operators. We remain confident in the long term growth story, which is based on our ability to grow subscribers and revenue as penetration rates rise strongly across our markets. We continue to invest heavily in the lower penetrated countries in Africa and Asia and we continue to build on our market leading position in Latin America, with a launch of 3G across the region and since the launch of 3G in September, we have more than 100,000 new 3G customers. The acquisition of Amnet will allow us to grow our broadband offer, which will be a key part of our Latin American strategy. Millicom is today well placed by way of its proven 3A strategy and its financial strength to benefit from the uncertain times. That concludes my comments and we will now be happy to take your questions. Operator, may I have the first question, please?
Operator: (Operator instructions) We will have our first question from Mr. Anders Wennberg from RAM. Please go ahead.
Anders Wennberg - RAM: Hello, Anders Wennberg from RAM.
Marc Beuls: Hi Anders.
Anders Wennberg - RAM: Hello. A few questions regarding things further down in the P&L. The tax rate was very high last quarter at 3%, I think was the write down in Columbia, but, this quarter only 18%. How should we think about the tax rate going forward? I know it’s the minority interest is still very high implying a huge loss in Columbia. I guess this is half of loss in Columbia. When will we see this loss in Columbia move down and thus the minority interest disappear? Can you help explain the items, which are very important for EPS? Thanks.
Francois-Xavier Roger: Okay. Regarding the tax rate, indeed the effective tax rate in Q3 was lower around 18%. A large part of it is due to the fact that we took that one off gain for the consolation of the repayment of the (inaudible), so we took a one off gain of 29 million, which is not taxable. So as a consequence, it distorted a little bit what the effective tax rate for Q3. And we expect to be below 30% for the full year. A minority interest, indeed I mean a large portion of the minority interest is linked to Columbia, but not only, I mean obviously, there are other countries involved.
Anders Wennberg - RAM: Should we expect the tax rate to be below 30% going forward or above?
Roger Francois-Xavier: No, no, no. Below 30% going forward.
Anders Wennberg - RAM: Okay. Another question if I may. On Central America, the standard markets have been maturing there and you've not had any significant growth or no growth for the last two quarters, but those are regions where you have not had any currency depreciation, which you've had in some other regions. What should we expect there? How will you get back to growth path here with the no growth in the last two quarters as well as no growth in local currencies.
Roger Francois-Xavier: The no growth of the last two quarters in South America is clearly driven by microeconomic factors. We've seen for the first time, I guess in a long time, lower remittances, sequential remittances from July to August in El Salvador and Guatemala, and we know that this money is a major driver for the economy in that part of the world. So I think the growth in Central America, or the future of South America is very closely linked to the development I guess in the U.S. so we'll have to see what happens there. There of course are currency impacts in the Honduras. So the Honduras currency is losing against the U.S. Dollar. It's only El Salvador that has the dollar as its currency but the others of course have their local currencies. There is also a currency impact in that part of the world.
Anders Wennberg - RAM: Okay. Thank you.
Roger Francois-Xavier: Janis?
Operator: Our next question comes from Sven Skold from SwedBank. Please go ahead.
Sven Skold - Swed Bank: Thank you. This is Sven Skold from SwedBank. I have many questions but first of all, what are you actually seeing in your business from the weak microeconomic environment? Can you specify how much it has affected your business? To follow up on that, I know that inflation rates were exceptionally high in Q2 and also in Q3, but what we have seen now is that inflation rates actually come down, it should do that as a consequence of lower oil prices and food prices as we have seen. So how do you look upon that going forward? Second, if I may move to Africa and the margin improvements seen in Africa, is that driven by improvements in DRC or what is the underlying factor for the modern margin improvement in Africa?
Roger Francois-Xavier: So what do we see in the businesses? I think in Central America, what we have seen is that we've seen lower usage. That, of course, is also to a large extent, a result of the taxes on international calls that have been introduced over the last couple of quarters andI incoming international calls, represent a big chunk of our traffic in Central America. So there are few calls that are coming into the network in countries like El Salvador and in Honduras. So these are very concrete things we have seen in two markets in Central America. In the other markets, we continue to see the minutes of use and the usage of the network to go up, so it's not that the business is falling off the cliff. In some markets we are impacted by the currency, as in Ghana with the CD, in Senegal and Chad, those two countries that have CFA as a currency, which is linked to the Euro. There clearly, we see an impact in the form of translation, the local currency to the dollar. That is impacting the numbers we report to the market as we report in dollars. So an exception made for those two mark – (Audio Gap 00:26:33 - 00:26:56) -- for inflation, at least it looks like inflation is coming down, fuel prices and prices of foodstuff, but that's not necessarily what we see today in the local markets. I think there might be some delay there before those lower prices will be seen in our markets. We have not seen a substantial decrease, for instance, for prices of fuel yet, but I guess this has to do with the fact that people order those things months in advance, so we don't see the full upside of the lower fuel prices. I think it's the same with the food prices. I think what is important is also that again, in Central America's the remittances, that of course, the level of the remittances have a major impact on people's spending in that part of the world. Do you want me to continue with Africa?
Sven Skold - Swed Bank: Yes, continue with Africa.
Marc Beuls: Okay, good. So the African margin improvement comes to some extent out of the DRC, but we have seen as a result of the economies of scale, we are creating in markets like Tanzania that’s going extremely strong. Senegal although Senegal and Chad were a little bit lower this quarter because of Ramadan in the month of September. So that also has an impact on the business there at least for that month. So, but we think that this margin improvement is sustainable and that as I’ve been saying before, we will be moving to the group average over the next couple of years. So this is the result from all the actions we took in Africa, increase CapEx, the extreme promotions we have been running, improvement in market share, improvement in the market position. These are the ones that are delivering this margin improvement.
Sven Skold - Swed Bank: You don’t see the same effect of inflation and weaker business cycling in Africa as in Latin America or is that --
Marc Beuls: I think we, of course, do see inflation and we have spoken in the past about the high costs for fuel for us to run our generators at the base stations, but as I’ve said before, I think Central America is a much more open economy than most of the economies are of our African countries and by definition, you see the impact of inflation there being lower than in more open economies. That’s probably the difference. Second is, of course, the penetration levels in the markets where we are active in Africa are a lot lower than they are in Latin America.
Sven Skold - Swed Bank: Okay, thanks.
Marc Beuls: Thanks, Sven.
Operator: We now have our next question from Sommit Datta from New Street Research. Please go ahead.
Sommit Datta - New Street Research: Hi, yes, it’s Sommit from New Street Research.
Marc Beuls: Good afternoon.
Sommit Datta - New Street Research: Just going back to Central America and the tax impact in El Salvador and Honduras. Are you able to -- I mean perhaps first of all say what percentage of traffic is coming from international calls. You said it’s a big chunk. Can you help sort of quantify that a little bit more? And maybe just sort of talk through the timing of the El Salvador tax change and I think Honduras kicked in, in the second quarter. Could you tell us when the El Salvador tax change was and then maybe just sort of help us understand is this a significant part of revenues or is something relatively minor compared to some of the macro impacts? And so, anything more on that would be really be helpful.
Marc Beuls: I don’t have an exact number for you what the percentage is of international calls of the total calls that are made on our network, but is an important number and has the impact of the -- on revenues of the introduction of the tax in Honduras in Q2 and in El Salvador, I think, somewhere in the beginning of Q3. So these things create what would I call negative elasticity because the cost of a call from somebody, primarily in the U.S., to make a call to his friends or relatives in Central America have gone up by $0.03 to $0.04 at least and so these people call less and that is what it is also impacting the revenues in Central America.
Sommit Datta - New Street Research: Okay and is that something which is being considered the introduction in Guatemala? Do you have any sort of knowledge --
Marc Beuls: Not that we know of.
Sommit Datta - New Street Research: Okay and then just a follow up if I may on Central America.
Marc Beuls: Yes.
Sommit Datta - New Street Research: You talked a little bit about some of the cost saving initiatives which have supported the margin a bit. Could you sort of elaborate a bit more on what they were maybe, what impact they have? How sustainable they are?
Marc Beuls: What we have spoken about before in Central America is creating synergies across the region, the three businesses across the region, you know by sharing platforms, by sharing best practices, by you know making sure that when we negotiate with our dealers that we keep the commissions under control. So there are a number of those initiatives that have been taken in order to keep the costs under control. With the acquisition of Amnet we will also be able to look again at the savings for the transmission because of the fiber optic in network we also bought there so there are still some improvements there. And I’ve said before that you know these savings allow us to keep the margins at the current levels despite that we see pressure on the margins from lower tariffs and of course lower ARPUs. So a very strong performance that we managed to keep the margin at the almost mid-50 level in the third quarter in Central America and we think we can continue keeping it around that level.
Sommit Datta - New Street Research: And then so, final question, for how long do you think you can keep it at that level?
Marc Beuls: We have been at that level for I don’t know how many years. So as I’ve said before, I don’t see any indicators at this point in time that would lead us to planning for margins lower than what we’ve seen before and what I’ve said before is that we’re looking at low to mid-50s margins in Central America.
Sommit Datta - New Street Research: Okay, that’s very helpful. Thank you.
Marc Beuls: Thank you.
Operator: Our next question comes from Bill Miller from Hartwell. Please go ahead.
Bill Miller - Hartwell: Marc, with the portions of the balance sheet, you’re going to have. Are there opportunities to either bid on or get new licenses or make other inroads in markets that you are either not in or use your cash effectively to grow the business in some other way?
Marc Beuls : We will be primarily using our cash to grow our existing businesses because we continue to see good opportunities in those businesses and by growing businesses, especially in Africa for instance and also in Asia, we will be able to get better economies of scale and that will lead to improvements of the margin in those regions. You can say the same also for Colombia and in South America. So our focus will be on our existing markets.
Bill Miller - Hartwell: Are there any licenses that are up for grabs? Or any new areas that will be having auctions at all that you be involved in?
Marc Beuls : Nothing new that we know about other than the ones we’ve mentioned before; Costa Rica, Nicaragua, and Central America and Africa, in Rwanda, we are short listed, we’re short listed in Malawi. So we are looking at a few things at this point and time.
Bill Miller - Hartwell: Great thanks.
Marc Beuls: Thank you.
Operator: Our next question comes from the Alexander Vassiouk from Morgan Stanley. Please go ahead.
Alexander Vassiouk - Morgan Stanley: Yes, hi. Several questions, first of all on the subscriber intake. You had a quite a significant drop in the rate of net additions in Ghana and Guatemala. I was just wondering if there have been any market related or competitive reasons why your net additions have slowed down significantly as opposed to broader macro issues in those markets.
Marc Beuls: I don’t think there have been any changes in market share in those markets. We continue to hold our market share. In Ghana we’ve been increasing it over the last couple of quarters to around 30%. Similar to Guatemala, we also have been keeping our 43% market share in that market. Something we have been building up from 30% level as you know over the last couple of years So we clearly don't see us taking fewer subscribers than we used to do compared to our competitors in those markets.
Alexander Vassiouk - Morgan Stanley: Okay. So it looks like it's a significant slow down in the rate or market growth. So I'm just wondering why in Guatemala it should be different from El Salvador, for example, where in El Salvador it looks like you still have the relatively net additions?
Marc Buels: But in El Salvador, as you might remember in the second quarter, we made a correction in our subscriber numbers, which by definition then reduces the churn in the following quarter. So when you do a clean up, and of course in Guatemala we have been just building up our subscriber base over the quarter so there was no correction there.
Alexander Vassiouk - Morgan Stanley:
Marc Buels: No, not that we know. I think the clean-up we did in the second quarter in El Salvador, which by definition in our impacts, in our new churn rates, i.e., your net subscriber numbers in the months to come, I think that is the major reason. And there have not been any specific events in Guatemala other than the macroeconomic events we have been talking about before.
Alexander Vassiouk - Morgan Stanley: Okay. Maybe just a question on the overall macro impact and how it affects consumers. Can you just elaborate if you strip out all the currency issues, and what are you saying in terms of the behavior of your existing customers? Are people generally using phone less or are they topping up less frequently? Have they reduced the duration of their calls or frequency of the calls and what kind of changes are you seeing in the subscriber behavior in response to those tougher macro conditions, for your existing subscribers?
Marc Buels: Yes, for our existing subscribers we need to be very specific. In Central America I spoke about the impact of the international calls, so that has reduced a number of calls over the past quarter because of the importance of international incoming calling in that part of the world. In other markets we have not seen lower usage of our network. So we continue to see increase usage of our network and we are monitoring very closely the usage of new customers and existing customers on a country by country basis, which I think would be to laborious to really go into those details at this point in time that we're really focusing on those things very, very closely. I think in other markets like in South America with Columbia, in Africa with Ghana Senegal and Chad there's a currency impact that's had, especially in September, although Ghana has been going on for a while but in September those two countries, Chad and Senegal has had the dramatic impact on our numbers. So we continue to see very strong subscriber intake in those markets. We continue to see good results, but when you translate it to dollars it's a smaller amount.
Alexander Vassiouk - Morgan Stanley: Okay. And then maybe finally just in terms of your lower expectations for CapEx in '08 and '09. Can you specify in what are the main regions where you think most of the savings can be achieved, or is it going to be proportionately overall CapEx structure across the board?
Marc Beuls: Clearly the CapEx will be spent there where we see the growth, and you can see yourself where the growth is coming from now, the top line growth, Africa and Asia, and also South America. So that’s where of course we will be focusing on from a CapEx point of view. When we gave CapEx guidance in the second quarter we said that it was going to be up to 1.5 billion. Now we say it’s going to be below 1.5 billion. But you've seen that we have more or less spent close to a billion now for CapEx for the first nine months. So that’s not going to be a big difference in 2008. In 2009, I already have for 2009 are already flat, after the second call that our CapEx spending would be lower in 2009 for the simple reason that in a number of our big markets, especially in Latin America, the build-out, especially covered build-out has more or less come to an end and we are focusing a lot more on capacity and that of course comes at a lower CapEx per subscriber and a lower overall CapEx spending. But we will continue to spend the money where we continue to get good returns, where we continue to see the growth we will continue to spend in CapEx because we want to take advantage of the opportunities that we see in those markets.
Alexander Vassiouk - Morgan Stanley : Okay. And just maybe in terms of the overall subscriber growth for the group, do you think the figure of 2.8 million, which I think you were mentioning as an average run rate that you felt comfortable with on the quarterly basis,do you think that figure going forward is less realistic?
Marc Beuls: Right, when we spoke about 2.8 millions a quarter I think the world looked a lot more different than it looks today. So, and we know that the fourth quarter historically has always shown a lot of seasonality was a strong quarter, so we’ll see how that quarter’s going to go. But for the full year, clearly, that 2.8 number was given at a time when we thought that the world was going to continue showing good economic growth across all continents.
Alexander Vassiouk - Morgan Stanley : Okay, thank you.
Marc Beuls: Thank you Alex.
Operator: Our next question comes from Peter Nielsen from Chevreux. Please go ahead.
Peter-Kurt Nielsen - Chevreux: Thank you. Peter-Kurt Nielsen from Chevreux. Couple of questions, please. You already commented on the CapEx, but I’d like to ask, could you elaborate perhaps a bit on the CFO’s comments about reviewing CapEx going forward? Is this just a reflection of the slow growth as you just mentioned, Marc, or is it a change in investment philosophy when it comes to CapEx spent? Second question, you talked a lot about liquidity today, liquidity considerations. The board earlier in the year indicated that it might consider Millicom paying a dividend, going forward. Is there any of what you talked about today, Marc, liquidity issues that might change the board’s thinking or delay such a dividend payment? And thirdly, it seems to me that the corporate cost level has gone up in this quarter quite significant versus previous quarters. Any particular reason for this? Is this a new level we should just factor in going forward? Thank you.
Marc Beuls: In terms of the CapEx philosophy, we have not changed anything. We will continue to spend the money where we see the good returns, and those good returns are typically found in those places where we see good growth. So we will continue taking advantage of those growth opportunities. So there’s no change there. But as I’ve just said, in some of our markets the spending, the nature of CapEx spending, has changed, more capacity focused, less coverage because of the percentage of the population or the country we are currently covering. In terms of the liquidity, yes, we do focus on liquidity. I think cash is king in today’s world. I did not say that we were going to pay a dividend next year, what I said was that we would write a dividend policy at a certain point of time which we would share with the market. So at this point of time there’s no decision taken whatsoever when it comes to that. Gone? He’s gone. Yes.
Operator: Pardon the interruption. Mr. Nielsen, your line is still open. Has this answered your question?
Peter-Kurt Nielsen - Chevreux: No. Not the last one. I was cut off.
Operator: Okay. Go ahead.
Peter-Kurt Nielsen - Chevreux: No, the conference was cut off from here.
Francois-Xavier Roger: Right. I was saying that the corporate costs have increased indeed in Q2 from 14.4 % to 18.5 in Q3 as we have allocated costs of some local employees working on group projects. So even in (inaudible) in the local affiliate they are working on some local projects, and so we have taken these costs as a group project and as corporate costs. So it’s more reclassification of local cost into central costs.
Peter-Kurt Nielsen - Chevreux: So this has--
Francois-Xavier Roger: There is a one off severance payment as well, which is not such a big amount but which is contributing to the increase as well.
Peter-Kurt Nielsen - Chevreux: So this has been recurring, I mean, sustainable going forward?
Francois-Xavier Roger: To a certain extent yes, depending on if we pursue this global project, but to a certain extent we can consider that it is a recurring expense.
Alexander Vassiouk - Morgan Stanley: Thank you.
Marc Beuls: But it is not an increase of cost for Millicom Global, but it's a cost for Millicom. So it is just a reallocation of the costs in our local versus central.
Alexander Vassiouk - Morgan Stanley: I understand. Thank you.
Operator: Our next question comes from Andreas Ekstrom from Carnegie. Please go ahead.
Andreas Ekstrom - Carnegie: Thank you, three questions if I may. One, Marc, is regarding the minutes of use. You are one of the few companies that do not disclose the minutes of use, but I would still like to ask you about that. We have seen some quite weak signs from Shiner Mobile yesterday and IDI in India for example, yesterday as well. Could you tell us about the minutes of use trend throughout your operation?
Marc Beuls: Yes, I don't have the specific minutes of use, but I looked up the use of air links on the network country by country, and I said before there we see a negative impact in Central America to two of the countries because of the International Call Tax. But we continue to see other markets growing some of them even aggressively and you can guess yourself where we are growing aggressively because of all the CapEx we're spending there and because of the promotions we are running there. But we are closely monitoring those things to make sure that we can correct, if need be, our investments in one or the other market depending on the minutes of use are going down or up. But at this point in time it is not like people have stopped using the phone in our markets.
Andreas Ekstrom-Carnegie: Is that something that you can consider releasing information about, you think going forward? I think what would be helpful to a lot of investors.
Marc Beuls: Maybe, we'll look at that, but as I've always said, minutes of use is not a very good indicator only because there are a lot minutes are given away for free, promotional minutes, and that doesn't really say anything about your revenue you generate per subscriber. So one has to be careful with that number.
Andreas Ekstrom-Carnegie: Okay, two more questions, one on Columbia. The margin you said went from 12 to 14%, but on the other hand the subscriber intake was basically flat during the quarter. Is that something that you have done on purpose to get the margins up or have you changed strategy when it comes to growth versus margin in that market short term or medium term?
Marc Beuls: I think the third quarter was a quarter here we kind of repositioning ourselves in Columbia. As you know I spoke about our different approach in terms of targeting more groups rather than individuals in order to get more on that calling and that change we brought about in the third quarter. And I think with this change we brought about I think that is kind of slowed things down. The increased margin, to put it that way, is not something we fabricated on purpose holding back on subscriber growth. We would like to continue growing subscribers, and again according to the official statistics, we now have a market share, I think, of over 11%, almost 11.5%. So we continue to gain market share compared to the two other operators. But clearly the change in Interconnect in December last year has changed the profitability and the top line growth for the company. But we are in the process of repairing those things and that's why we said that we looked at continuous improvements in the margins into 2009 in Columbia.
Andreas Ekstrom-Carnegie: But despite that you are expecting a subscriber intake to pick up again, maybe already in Q4 --
Marc Beuls: We would expect that to pick up given the slight change of approach we have taken in the course of the third quarter.
Andreas Ekstrom-Carnegie: Okay, finally just a short question on Senegal. I saw something in your release about your license in Senegal. Could you just clarify what that was all about?
Marc Beuls: The license in Senegal we are in negotiations with the government about what I would call an enhancement of the license following an agreement we signed with the government in 2002, about four years after we got our license. And so this is something we've disclosed before. And so we will see what the outcome of that negotiation is. We, of course, would like to get into 3G and get probably more spectrum to enhance our license to be able to continue growing our business there.
Andreas Ekstrom-Carnegie: Okay, Marc, thanks.
Marc Beuls: Thanks.
Operator: Our next question comes from Kevin Roe from Roe Equity Research. Please go ahead.
Kevin Roe - Roe Equity Research: Thank you. Quickly on Senegal, what is the government asking for in that negotiation?
Marc Beuls: I don't want to go into the details of the negotiation, but the trade union there has been the award of this third license, I think about a year ago now and we agreed with the government back in 2002 that we would go into a negotiation when it comes to the existing license and the enhancement of our license in the light of the award of the third operators license in the country. We don't have any intention to have a similar license because that is a full universal license. We have no interest in being a universal operator, in Senegal we are only interested in being a mobile business.
Kevin Roe - Roe Equity Research: You'd expect ultimately this to result in some sort of a cash payment for a license extension?
Marc Beuls: That is right, extend enhancement, that's what we would expect, yes. It is very similar to what we’ve, done, if I may add, Kevin, similar to what we’ve seen in Ghana where a number of years ago we renewed our license and where currently the entire industry is talking about the 3G license and 3G spectrums, so these are recurring things.
Kevin Roe - Roe Equity Research: Got it. Marc, on CapEx you mentioned the release of substantial reduction, is the wording in your release. I’m just trying to get a handle on what is a substantial reduction? Is a ballpark a billion dollars for '09 reasonable or could it be less than that? Any comment would be helpful.
Marc Beuls: Yes, I’m not going to be helpful here. I’m not going to give you any clarification on that number. So we had always planned to see a lower CapEx number in 2009 given the states and network build out we are in the more mature markets. But I won’t be able to give you any guidance as to what that number for 2009 is going to be.
Kevin Roe - Roe Equity Research: Okay, and lastly Marc, on Central America, you’ve given us a lot of color on your operations there and I know the visibility is poor given the macroeconomic environment, but when do you expect to return to sequential revenue growth in that market? Maybe to ask another way, what are your expectations for ARPU dilution for 2009 in that region?
Marc Beuls: Are you talking Latin America, Central America, what?
Kevin Roe - Roe Equity Research: In Central America specifically.
Marc Beuls: In Central America we have been hurt over the last couple of quarters by a number of what I would call external factors, increased taxation on international calls and then the lower remittances. The taxations is in the numbers now for both countries, Honduras and El Salvador. So we don’t know of any new taxes that will be introduced, so that’s there. So that’s history. But, of course, it will be something that will be in the numbers going forward. In terms of the remittances, yes, that is a question mark I think for everybody as to what is going to be the macroeconomic outlook for the region and that is why it is very difficult at this point in time for anybody to really take a view as to what is going to happen in Central America. We remain very positive about the region as a whole. We remain very positive about our market position in that part of the world. So we are keeping slightly increasing our market position, so I think we're doing all the right things at this point in time in that part of the world. We’ll be subject to the macroeconomic outlook.
Kevin Roe - Roe Equity Research: In your budgeting, which of course drives your CapEx expenditures for next year, are you anticipating internally revenue growth in Central America over the next 12 months?
Marc Beuls: Well we would hope to see some revenue growth, of course over time. I don’t think we’ve come to the point in Central America where everything is going to go in reverse. So as I said there were external factors that created this impact on the revenue, call it flatish revenues over the last two quarters. So hopefully there will not be any other external factors in the nearby future that will have the same impact. So we remain optimistic about the region, but there is no number I can give you in terms of what we think revenue is going to look like next year.
Kevin Roe - Roe Equity Research: Thanks, Marc.
Operator: Our next question comes from Bengt Moellryd from Handelbanken. Please go ahead.
Bengt Moellryd - Handelbanken: Thank you. Bengt Moellryd from Handelbanken. Just when it comes to Central America and Columbia, (inaudible) have the churn rate come up during the third quarter? Have you seen other behavior from your competitors there in the region? And then on CapEx, what do you expect to spend there during the fourth quarter? Is it in line with '08 around 300 million or what could we expect there?
Marc Beuls: Okay, As I just said in Central America and I have the same about Columbia, Columbia said that according to the official numbers we now are in 11 or almost 11.5% market share. So clearly we aren’t losing against our competitors in that country, market share against our competitors and the same goes for the three Central American countries as we speak. In terms of CapEx, I won’t be able to give you any guidance for CapEx or for Q4. As I’ve said the total number will be below $1.5 billion for the year 2008.
Bengt Moellryd - Handelbanken: But when it comes to share rate, has that increased experience high (inaudible) during the third quarter that is behind your revised planning regarding CapEx?
Marc Beuls: No, no. As I’ve said in Central America with the growth slower than what it used to be, although growth in terms of subscriber intake in Q3 was higher than Q2, but is a lower number that had been historically by definition you spend less CapEx given that the growth of the business is slower than what it used to be. So that is inline with expectations. You’ve seen the growth rate in Central America coming down quarter after quarter now.
Bengt Moellryd - Handelbanken: And in Columbia regarding churn, is it up or down or unchanged?
Marc Beuls: I think, churn, because of the change and approach that was taken, it probably was up in the third quarter in Columbia, but it is nothing to do with the macroeconomic environment. I think that's kind of the change we took in, how do we want to approach the market and that's (inaudible) focus for us, individual focus.
Bengt Moelleryd – Handelsbanken : So, then is it fair to do with something that you don't see any change in the market climate, competition, or activities from from your competitors, but it's primarily external factors and the macroeconomic factors are influenced your business area in Central America. Is that the right reading?
Marc Beuls: That's the right conclusion, yes.
Bengt Moelleryd – Handelsbanken: Okay, thank you.
Operator: Our next question comes from Rama Rao from RR Capital Management. Please go ahead.
Rama Rao – RR Capital Management: Thank you, guys. Good morning.
Marc Beuls: Good morning.
Rama Rao – RR Capital Management: Excellent quarter considering the very difficult environment. I have two questions. How do you expect or what strategy you have to sail through this financial crisis? Do you think that the permanent destruction of the demand of fewer product?
Marc Beuls: Well, as I've said before, the impact of the change of macroeconomic environment has clearly impacted consumer spending in places like Central America, that's what we discussed earlier today. And I'm sure that the higher inflation we've seen over the last couple of quarters makes that people have to do more with less money at the end of the day. So, yes, that will and has impacted customers, spending patron. But, while we have not seen this except for the two countries in Central America, what we have not seen is we've not seen traffic coming down on the networks. So, we continue to see growth in the system, we continue to see growth in the market where we are and we are at least growing at the speed of our competitors, so, given the market share gains so the keeping our markets shares in our markets. So, we're doing well given the situation. But clearly, we will always monitor, as we've done in the past, our CapEx, make sure we make the returns, our paybacks, so we'll continue doing those things going forward as we've done before. And as I said we are clearly looking and creating synergies making sure that we can get the OpEx down in order to make up the margins we have in the number of countries sustainable in other markets, we would like to increase the margin.
Rama Rao – RR Capital Management: So, if the financial crisis is over, you think the demand will come back?
Marc Beuls: Well, when is this crisis going to be over? You know I don’t know when it's going to be over. So, I think we are following things very closely and so, we monitor it and we will take a decision in line with what we see happening in the markets. But, financial crisis for us, it's more slow down of the economy. I think the financial crisis is not something that is helping our business, it's more the slow down in the economy, I guess, in some places.
Rama Rao – RR Capital Management: And last question, how confident you are that you can meet the next quarter expectation?
Marc Beuls: We don't give forecast to the markets. So, I can't comment on that question.
Rama Rao – RR Capital Management: Thank you.
Marc Beuls: Thank you.
Operator: Our next question comes from Lena Osterberg from SEB Enskilda. Please go ahead.
Lena Osterberg – SEB Enskilda: Yes, this is Lena Osterberg calling from SEB Enskilda in Stockholm. I was going to ask you a few questions, first of all on Columbia. You previously indicated that you need roughly about 20% market share to get in critical mass. Has that target changed with your focus going from targeting individual customers to more groups of customers to get more or is it still at 20% market share that you are looking for? And then, second question is on CapEx cuts, could you maybe say a little bit more on where and what it is that you're cutting. And thirdly, we're seeing some tax introductions in a few countries over the past few months here, do you expect in the other countries that the poor economic development in these economies will force governments to look for a new tax income and you will see more taxing increases on all units in some other countries.
Marc Beuls: Okay, in Columbia, I don’t think anything in Columbia has changed in terms of our outlook, in terms of market share, in terms of returns we are targeting, profitability, we're targeting what has changed is that it's taking time than what we anticipated. With the change of interconnect we've lost anything between, let's say, 18 months to 24 months in terms of other timing. But all the other targets we have set still remain. In terms of CapEx spent, as I said before, we will spend the CapEx where the growth is. So, because it doesn’t make sense to spend CapEx in places where there is no growth and because we want to make sure that we protect the returns on our investments. As you know, we're looking at internal rates of return of over 20% when it comes to our investments. In terms of tax introduction, yes, you're right. There have been quite a few new taxes introduced over the last 12 months more than we have hoped for. But, are there going to be more? The answer is probably yes. You know we don't know. I think taxes are something one has to live with and hopefully taxes that will be increased will be on such a level that will impact our business. But at this point in time, I'm not aware of any major tax to be introduced in any of our markets.
Lena Osterberg – SEB Enskilda: Okay, thank you.
Marc Beuls: Thank you.
Operator: Our next question comes from Sergey Fedoseev from HSBC. Please go ahead.
Sergey Fedoseev – HSBC: Hi. A lot of my questions has actually been answered, just two left. First of all, could you please comment on the interest expense decline, in Q2, you had 42 million and in Q3, it went down to 14? And second question, I actually look for two numbers, the total number of bonds that you're going to repay next year and total number of banks loans that you are going to repay next year. And the very last question, you seemed to be pushing all the debt from the group level to the operating level which adds a lot of (inaudible) from tax perspective? But from the reporting perspective, the transparency kind of go down. Are you planning to start reporting on a country level? Thank you.
Marc Beuls: Okay. Francois, can you now answer the questions?
Francois-Xavier Roger: On the interests were declined what happened is that last year, so that we would repair the (inaudible) bond, so we accrue in Q4 2007 for the 5,000 repayment premium that we have to pay, which is the reason why the interest charge increased last year. Since we decided not to repay the bond now, we have reversed that expense in Q3 2008, which is the reason why it goes down to 14. And the second question, regarding the bank loans, indeed, we have some, I think, 214 million of short-term debt. This is mainly corresponds to overgrowth facility to cover the seasonal needs of the business. There are some minor amounts as well corresponding to short-term maturities of long-term financing, but there is no concern there. Regarding the debts, indeed, we are pushing as much debts as we can locally, for tax reasons as you mentioned, but we don't plan to report figures on a country basis.
Sergey Fedoseev – HSBC: Thank you. Just to check, the 214 million, is it like a bank loan or is it bonds combined number?
Francois-Xavier Roger: No, it's some of different bank loans
Sergey Fedoseev – HSBC: Some of different bank loans?
Francois-Xavier Roger: Yes.
Sergey Fedoseev – HSBC: And the bonds, you have bonds this year, to verify, it's right?
Francois-Xavier Roger: The bonds loans --
Sergey Fedoseev – HSBC: Okay. Thank you.
Operator: We have our next question from Sven Skold from Swedbank. Please go ahead.
Sven Skold – Swedbank: Yes, just a follow-up question there. Did you see any differences in Q3 between July, August, and September when it comes to minutes of use or subscriber growth? And when we now look into Q4, should we expect additional pick-up in subscriber growth in, for example, Latin America or is the market maturing so much that it shouldn't grow even in Q4 compared to Q3? A discussion about that would be helpful.
Marc Beuls: I don't think there are differences in the subscriber intake between the months and the third quarter was important. So, what we did see in Q3 was that the month of September was particularly bad when it came to the foreign currency impact compared to the two other months. But, no major differences in customer behavior there. Q4, historically, has always been the best quarter of the year. So, we hope that it's going to be the same this year. But again, with the changed macroeconomic environment, yes, we will have to wait and see. We continue to plan certain promotions around year end, so, it's not likely we're going to be holding our horses. We will make sure that there are going to be attractive promotions in the market and hopefully, that will give us a good quarter then.
Sven Skold – Swedbank: Okay, thanks.
Operator: Our next question is from Scott Bruce from Senvest. Please go ahead.
Scott Bruce – Senvest: Hey, guys. (inaudible) but I might've missed it, but can you tell me how your thoughts are on the buyback might have evolved here now that you have been rethinking what CapEx looks like the balance of this year and into '09?
Marc Beuls: Buyback of?
Scott Bruce – Sinvest: Your shares.
Marc Beuls: Okay. I mean we have the authorization, as you know, which was given to us at the (inaudible) in the month of May, but as you understand, I can't give any comments on what our plans are when it comes to buyback.
Operator: We now have our final question from Bill Miller from Hartwell. Please go ahead.
Bill Miller – Hartwell: Marc, I understand that you average during your quarter for foreign exchange and therefore, it's not a weighted average when September has fallen down more significantly than the other two quarters. Do you plan on doing anything not in the methodology but in terms of hedging foreign exchange or in any other way that you could either take advantage of or mitigate the strength of the dollar?
Francois-Xavier Roger: Well, if we cut back some hedging, we would do it, unfortunately, for most of the countries where we offer it, there is no real market for hedging, so, it will be complicated to do it on the consequence. So translation, risk is definitely difficult to handle through that buyback instruments, unfortunately.
Marc Beuls: We have a policy that we try to match costs and revenue in terms of the currency. We will try to convert our local currency into dollars as quickly as we can. So, there are number of things we do. We've been doing those for years and by doing so, we can limit the strong dollar impact. But yes, the derivative markets for the (inaudible) and the (inaudible) that gets dollars they either don't exist or they're extremely small. So, we can't choose them.
Francois-Xavier Roger: What we are doing as well is to try to push down as much debt as we can to the operations and to take it in local currency so that whenever there is depreciation of the currency, I mean, we don't have any minus in terms of asset value, but we have some liabilities that go down as well. But unfortunately, it is not always possible either to take local debts in local currency. So we have very often, to take the debts in our currencies. But we try whenever we can.
Bill Miller – JM Hartwell: Have you seen any diminution or change in the local debt markets over the last three to four months, so it should be unable to do that or unable to raise money locally and if there is no change, what approximately the interest rates are there now available or not available in the local markets?
Francois-Xavier Roger: We have not seen any change in the last couple of months, but we are monitoring closely the situation. We are using, as much as we can, the international financial institution as well such as direct financial institution and expert credit agencies sponsored by different governments around the world, which is working well and we’re expecting interest rates. But we did not notice any issue locally to run debts in our operations.
Bill Miller – JM Hartwell: Great. Thanks a lot.
Operator: We believe we have a few further questions. (Operator instructions). We have a question from Stefan Petersen from Nordia. Please go ahead.
Stefan Petersen – Nordia: Yes. Hello. I've been cut off once, so, excuse me, if you have all ready answered this question, but in Africa, you had an (inaudible) of 19% year-of-year and could you tell us what the currency effect of these (inaudible), what we should expect going forward in terms of (inaudible) development in Africa?
Marc Beuls: I don't have an exact number for you there but in Ghana, Millicom's largest market in Africa, we saw a big devaluation of the CD all ready in the second quarter. That continued into the third quarter. There was Senegal and Chad in September. So, to what extent, I mean, that clearly has impacted the ARPUs if you translate the ARPUs into dollars. However, I think the biggest reason why we've seen reduction upward because of extreme strong subscriber intake. I mean, we took almost a million subscribers in this quarter, we did about the same in the previous quarter. These are new subscribers and they don't necessarily come with the same ARPUs as the subscribers we have on that works. So, this is kind of a normal development to a large extent following the strong subscriber intake this year in Africa.
Stefan Petersen – Nordia: Okay. Thank you.
Marc Beuls: Yes.
Operator: Our next question comes from Mandeep Singh from Morgan Stanley.
Mandeep Singh – Morgan Stanley: Hi there. Thank you. I have two questions please. One on Ghana and one on Cambodia. You’re seeing sort of heavyweight new entry in Ghana from Vodafone and two entrants in Cambodia with (inaudible) Comm and (inaudible), but I just wanted to understand how you feel your position on those markets could evolve in the face of such heavyweight competition and just an update on how do you see those two markets developing please.
Marc Beuls: I think the increased competition could lead to an acceleration of growth because you could probably say that in Ghana, there have only been two real major operators there and ongoing based stronger was MTN and ourselves. We both have similar sites of networks nowadays with very good coverage across the country. And you know that will protect as Millicom or Tigo in Ghana for any new entrant coming into the market. So, we don’t expect that we're going to see any major changes in terms of our market share going forward as a result of those two new entrants, then, we know, we're competing with them in a number of markets in Africa. and you've seen the market share gains we have been generating in most of our African markets. Vodafone as a newcomer to us, so we'll have to see how they're going to operate in Ghana, so, it will be kind of a learning curve for us there but of course, we look at both operators as fair operators. The same in Cambodia. I think Cambodia has probably suffered from, for many years, too little investment and infrastructure. We have been investing a little bit there and operators have not been doing so. I think when new operators coming into the market, yes, we will lose market share there in Cambodia, no doubt, because we have market share in the 60s, so, it would be nice to believe that we're going to keep that market share going forward but we don't think that will be possible. But we think that with those new operators coming and there is also DSL coming to the market will give an increase of the growth rates for the industry in that country.
Mandeep Singh – Morgan Stanley: Just as a quick follow up in Cambodia, I mean, you mentioned yourself in the press release that Cambodian revenues have actually not growing sequentially anyway, can you envision a scenario where your revenues in Cambodia start to go backwards with the new competitors?
Marc Beuls: No, I don’t think so. I think we're going to continue seeing growth in that market.
Mandeep Singh – Morgan Stanley: Okay, thank you.
Operator: As there are no further questions, I would now like to turn the call back over to your host for any additional or closing remarks.
Marc Beuls: Thank you, operator. Let me just thank you all for joining the call today and we look forward to seeing those of you who are coming to our investor trip to Paraguay in a couple of days. So, thank you and good-bye and I'll see some of you in Asuncion on Thursday.
Operator: Thank you. That will conclude today's conference call. Thank you for your participation, ladies and gentlemen. You may now disconnect.